Operator: Good morning, and thank you for standing by. Welcome to Birkenstock Holding plc's first quarter fiscal 2026 earnings conference call. At this time, all participants are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. If you would like to ask a question, please press star-1 to raise your hand. The company allocated 45 minutes in total to this conference call. I would like to remind everyone that this conference call is being recorded. I now turn the call over to Megan W. Kulick, Director of Investor Relations.
Megan W. Kulick: Hello, and thank you everyone for joining us today. On the call are Oliver Reichert, Director of Birkenstock Holding plc and Chief Executive Officer of Birkenstock Group, and Ivica Krolo, Chief Financial Officer of Birkenstock Group. Alexander Hoff, VP of Global Finance, will join us for Q&A. As a reminder, we preannounced certain first quarter results in conjunction with our Capital Markets Day on January 28. On this occasion, we took a deep dive into our business model and our growth strategy for the next three years combined with a Q&A session, which covered a wide variety of topics. For those of you who were not able to attend our Capital Markets Day or follow via live stream, the presentation materials and replay are available on our investor relations website at birkenstock-holding.com. Today, we are reporting the financial results for our fiscal first quarter ended 12/31/2025. You may find the press release and a supplemental presentation connected to today's discussion on our investor relations website at birkenstock-holding.com. Results have also been filed on Form 6-K with the SEC. We would like to remind you that some of the information provided during this call is forward-looking and accordingly is subject to the safe harbor provisions of federal securities laws. These statements are subject to various risks, uncertainties, and assumptions which could cause our actual results to differ materially from these statements. These risks, uncertainties, and assumptions are detailed in this morning's press release as well as in our filings with the SEC, which can be found on our website. We undertake no obligation to revise or update any forward-looking statements or information except as required by law. We will reference certain non-IFRS financial information. We use non-IFRS measures as we believe they represent the operational performance and underlying results of our business more accurately. The presentation of this non-IFRS financial information is not intended to be considered by itself or as a substitute for financial information prepared and presented in accordance with IFRS. Reconciliations of non-IFRS measures to IFRS measures can be found in this morning's press release and in our SEC filings. I will now turn the call over to Oliver.
Oliver Reichert: Good morning, everybody. It was great seeing you in New York two weeks ago. Just to recap some key points from the day. We believe we are a one-of-a-kind purpose-driven brand with a huge runway ahead. Our unique business model is designed to deliver resilience, with sustained long-term top line growth, industry-leading margins, and strong free cash flow. Over the next three years, we expect to continue to deliver 13% to 15% top line growth in constant currency, and 30% plus EBITDA margins in an environment that has substantially changed since our IPO. Why are we so confident in our growth potential? Our total addressable market includes every Homo sapiens sapiens. That provides a very long runway for global growth. The three-year growth algo of 13% to 15% in constant currency reflects our commitment to manage the business with discipline by geography, channel, and product. By being vertically integrated, we are capacity constrained by design. So to grow our business profitably, we are committed to maximize profitability per pair while protecting brand equity. The Americas, our largest segment, continues to grow double digit. Even in our most developed market, the U.S., we sell only 45,000 to 50,000 pairs per million people, or roughly 5% penetration. So there is still substantial room for more growth. As you know, our margins in the U.S. face headwinds from additional tariffs and the weaker dollar. However, our resilient business model allows us to steer growth between geographies to optimize margins under this new reality. In EMEA, our highest margin segment, markets like Germany, Denmark, and Austria have reached penetration levels similar to the U.S. and still generate double digit growth. But we are underpenetrated in other markets like France, Spain, UK, and the GCC. So we see even stronger growth potential in these countries and very high margins. Finally, the largest opportunity for long-term growth remains in APAC countries such as China, Japan, South Korea, and India, where we are highly underpenetrated but realize strong margins and some of our highest ASPs. We will steer APAC growth at double the pace of the other segments over the next three years. This means we will double our APAC revenue by 2028. For the foreseeable future, we expect B2B growth will continue to outpace B2C growth, but we are working to balance channel growth and strengthen our DTC business. B2B growth is driven by the trend towards in-person shopping. We are investing in our own retail to capture more of this in-person demand and promote newness. In online, which accounted for 80% of our revenue last year, we are not sitting on our hands. We are transforming our capabilities to convert more of the live to our e-com business value of the brand fan. We do this all within the context of our vertically integrated supply chain and manufacturing capabilities. Our supply chain will deliver the unit growth required to achieve our three-year targets. Now on the quarterly results. We delivered again a strong quarter with revenues of €402 million, up 11% on a reported basis and 18% in constant currency, well above our 13% to 15% full-year guidance. We saw strong demand and brand momentum during the important holiday shopping season. As expected, our B2B business outperformed DTC during the quarter. B2B was up 24% in constant currency while DTC was up 12%. As you know, over 90% of the B2B growth comes from within existing doors. We tightly manage our distribution as relative scarcity and channel health remain top priorities for us. We will never compromise on our pull model. The ultimate truth for the brand health is sell-through at full price, and that remains very high, over 90%. We continue to deliver as promised in our white space opportunities. In APAC, we grew revenues 37% in constant currency, more than double the pace of growth of the Americas and EMEA. In owned retail, we added nine new stores, ending the quarter with 106 stores. We are well on the way to deliver the 40 stores we promised for this fiscal year. This will allow us to capture more in-person shopping demand, younger shoppers within our own DTC business. It also allows us to showcase the full range of our collection, newness, and special editions not available in B2B. The closed-toe share of revenue reached close to 60% of revenue during the first quarter, which is seasonally the highest quarter for our closed-toe business. We saw very strong sales in clogs, including the Boston, a category-defining hero silhouette celebrating its 50th birthday this year. We also saw strength in other clog silhouettes such as Naples and the Luthrie. We are successfully developing the brand beyond sandals, making it a true four-season brand. I will now turn it over to Ivica to discuss our financial results and outlook in more detail. Thanks, Oliver. I am happy to share with you details of Birkenstock Holding plc’s
Ivica Krolo: performance for fiscal 2026. We exceeded our targets even in the face of a significant headwind from FX on our reported numbers. We generated first quarter revenues of €402 million, growth of 18% in constant currency. Reported revenue growth was 11%, due to the historically strong depreciation of the U.S. dollar and Asian currencies compared to 2025. This caused a 670 basis point headwind to revenue growth in the quarter. We saw strong growth across all segments in the quarter. The Americas segment was up 14% in constant currency, EMEA was up 17%, and APAC up 37% in constant currency. By channel for the quarter, B2B was up 24% in constant currency on the back of strong holiday demand at our key partners, and D2C sustained double digit growth, up 12% in constant currency. Gross profit margin for the first quarter was 55.7%, down 460 basis points year over year. Adjusted gross profit margin, including the reversal of distributor markup associated with the acquisition of our Australian distribution partner, was 57.4%, down 290 basis points. As we discussed at the CMD, adjusted gross profit margin excluding 220 basis points of pressure from FX and 130 basis points of pressure from incremental U.S. tariffs was up 60 basis points year over year. Selling and distribution expenses were €126 million in the first quarter, representing 31.2% of revenue. This was down 150 basis points from the prior year, mainly due to a higher B2B share year over year. Adjusted general and administration expenses were €29 million, or 7.2% of revenue in the quarter, up 50 basis points versus prior year. Adjusted EBITDA in the first quarter of €106 million was up 4% year over year. Adjusted EBITDA margin of 26.5% was down 170 basis points year over year. Excluding FX and tariff impacts, adjusted EBITDA margin was up 190 basis points to 30.1%. Adjusted net profit of €49 million in the first quarter was up 47% year over year. Adjusted EPS for Q1 was €0.27, up 50% from €0.18 a year ago, driven by strong operational performance, lower interest expenses, €10 million of income from the change in valuation of the embedded derivative, a lower effective tax rate, and lower share count following the €200 million share repurchase we executed in May 2025. As is usual in the first quarter, we used €28 million in operating cash compared to a use of €12 million in Q1 2025. This is due to working capital seasonality and income taxes paid of €48 million. We ended the quarter with cash and cash equivalents of €229 million. Our inventory-to-sales ratio was 39% in the quarter, flat with a year ago. Our DSO for the quarter were a healthy 20, up from 15 a year ago, primarily due to the higher B2B mix. During the quarter, we spent approximately €38 million in CapEx adding to our production capacity in Aruka, Görlitz and Pasewalk, and continuing our investments in retail and IT. This also included the €18 million purchase price of the Wittichenau facility announced last year. Our net leverage was 1.7 times as of 12/31/2025, up from 1.5 times at 09/30/2025 due to a normal cash seasonality. Turning to our outlook for fiscal 2026. We expect second quarter revenue growth in constant currency within our annual guidance of 13% to 15%. We will experience significant headwinds from FX and tariffs in the second quarter. Regarding FX, we will see an especially strong headwind in the second quarter. As a reminder, 2025 represented the strongest quarter for the U.S. dollar with an average euro to dollar exchange rate of 1.05 prior to Liberation Day. At today's euro/U.S. dollar exchange rate, we expect approximately 700 basis points of headwind to revenue growth in the second quarter. The margin impact to gross profit and adjusted EBITDA from FX will be 200 to 250 basis points in the second quarter. As a reminder, nearly all of our COGS are in euro and the majority of SG&A as well. As such, the absolute euro impact of movements in FX to revenue flows through by about 90% to gross profit and about two-thirds to adjusted EBITDA. Regarding tariffs, we expect similar margin pressure as we saw in Q1, or roughly 100 to 150 basis points. At our Capital Markets Day, we reiterated our guidance for 2026 for constant currency revenue growth of 13% to 15%. While we clearly came in ahead of that at 18% in the first quarter, I remind you that the first quarter is our smallest quarter in terms of revenue, so it just does not carry the weight that the remaining three quarters have on the annual growth rate. The FX headwind should be about 350 basis points for the full year, resulting in revenue growth of 10% to 12% to €2.30 to €2.35 billion. This assumes an average euro to U.S. dollar exchange rate of 1.07. We expect adjusted gross margin of 57% to 57.5% in fiscal 2026, inclusive of the 100 basis points pressure from FX and 100 basis points from incremental U.S. tariffs. We expect adjusted EBITDA of at least €700 million for the year, implying an adjusted EBITDA margin of 30% to 30.5% inclusive of the pressure from FX and tariffs totaling 200 basis points. Excluding the impact of these external factors, forecasted adjusted EBITDA margin would be 32% to 32.5%. Our expected tax rate should be in the range of 26% to 28%. Adjusted EPS is expected to be €1.90 to €2.05 including approximately €0.20 to €0.50 of pressure from FX. This is not including the impact of any additional share repurchases. We intend to repurchase shares for total consideration of €200 million during fiscal 2026 subject to market conditions. CapEx should be in the range of €110 to €130 million. Net leverage target for the end of fiscal 2026 of 1.3 to 1.4 times excluding the impact of additional share repurchases. With that, I will turn it back to Oliver to close.
Oliver Reichert: Thanks, Ivica. We are confident in our business model and its resilience. Demand for our beloved brand remains strong. The runway for growth is huge. At the midpoint of our growth target, we expect to add €1 billion to our top line by fiscal 2028. We will do this while maintaining 30% plus adjusted EBITDA given our ability to steer the business between channels and geographies. I will now ask the operator to open the call for questions. Thank you.
Operator: We will now begin the question and answer session. Please limit yourself to one question only. If you would like to ask a question, please press star-1 to raise your hand. To withdraw your question, press star-1 again. Please stand by while we compile the Q&A roster. Your first question comes from the line of Matthew Robert Boss with JPMorgan. Your line is now open. Please, Matthew, go ahead.
Matthew Robert Boss: Great. Thanks. So, Oliver, could you break down the drivers supporting your confidence in durable demand momentum for the brand globally? Maybe if you could touch on current sell-through rates, full price demand indications from wholesale partners, and new customer acquisition? And then near term, have you seen any change in brand momentum so far in the second quarter?
Oliver Reichert: Hi, Matthew. Thanks for your question. As we shared in New York, we see a very long runway for growth for the brand. It is below 5%. So we continue to grow there and in other territories double digits, and all this with a 90% plus full price realization across all channels. I think that is really something to mention because that is
Matthew Robert Boss: And
Oliver Reichert: really outstanding. Our order book for '26 and the and the and the next years remains very strong. We strictly allocate our partners to maintain scarcity and fulfilling roughly 70% to 80% of the wholesale demand. So 20% to 30% are unfulfilled out there. And we have seen no pushback from partners on any price increases or any kind of adjustments we did so far. You asked about the customer acquisition. I would say the new customer acquisition comes primarily from our B2B channels where partners benefit most from the strength of our brand and use us to drive traffic to their stores. You know the attraction, especially to Gen Z in this channel, is very, very
Megan W. Kulick: strong.
Oliver Reichert: Within our own D2C, the strongest indicator of new customer growth is our membership program, which is up over 20% year over year. You all have seen the queuing in front of our own retail stores, but we only have 106 at the moment. So our own retail is definitely in the future a very, very important pillar to talk about brand heat on top of that. But asking about second quarter, you know, cannot deliver any outlook here. We see the momentum continue in line with our guidance of 13% to 15% revenue growth in constant currency. So I think we are good on track.
Matthew Robert Boss: Great color. Best of luck.
Operator: Your next question comes from the line of Simeon Siegel with Guggenheim. Your line is now open. Please go ahead.
Matthew Robert Boss: Thanks. Hey. Good morning, everyone, or good afternoon. Nice to see you recently. So just, Oliver, recognizing you guys are in this enviable position where you do supply less than demand, how are you deciding where to allocate your inventory across channels and geographies just to optimize the brand strength reaching new customers, and then, where your EBITDA dollars per pair come in? And then, Ivica, just recognizing tariffs and inflation, what were inventory up in units rather than in dollars? Thanks, guys.
Oliver Reichert: Hey, Simeon. It is Oliver. Thank you for your question. As you know, we will see our product in the most profitable channels and regions to make sure our brand is well balanced in terms of revenue unit needs, or unit consumption, and the maximum resilience. Just to be clear, channel drives the margin. Geography is less relevant. So it is not really a shift from geography to other geographies. It is really, like, very detailed, very precise shifting from this channel in this geography to another channel in another geography. So and that is what we are doing mindfully. And I think the second part of the question will be answered by Ivica.
Megan W. Kulick: Can you repeat the question, Simeon? We did not quite hear it.
Matthew Robert Boss: I just looked at your balance sheet inventory in dollars. Curious if you could tell us what is up in units. Over here.
Ivica Krolo: Hey, Simeon. It is Ivica speaking. So we are not disclosing that in detail as we have not disclosed that in the past, and we are not intending to do that in future as well.
Matthew Robert Boss: Okay. Sounds good, guys. Best of luck for the year ahead.
Operator: Your next question comes from the line of Anna Andreeva with Piper Sandler. Line is now open. Please go ahead.
Anna Andreeva: Great. Thank you so much for taking our question, and it is nice to see you guys the other week. So your first quarter growth came in at 18% in constant currency. That is nicely ahead of the 13% to 15% guide for the year. Can you talk about where is that slowdown for the rest of the year coming from? And are you just being conservative? Just some more color on that would be great. And just as a follow-up to Ivica, can you help us with seasonal progression of how we should think about margins across the quarters for the rest of the year, just considering the outlook for FX, the tariff timing, capacity absorption and some other items? Thank you so much, guys.
Ivica Krolo: Hey, Anna. Thank you for your question. It is Ivica. Yes, the 18% constant currency growth in Q1 2026 is indeed well above the 13% to 15% guidance for the year. In general, we are always conservative this early in the year. There is a lot ahead of us in fiscal 2026, and the second half is naturally more difficult to predict as you know, given the heavier mix of D2C, which is why we remain conservative. So while we are off to a great start and demand remains strong, as Oliver already mentioned, we think it is just prudent to stick with the current guidance for the year. And as a reminder, Q1 is our smallest quarter for the year. Last year, it was only 17% of the annual revenue, so it just does not carry the same weight for the remainder of the year. And with regards to your second question on the seasonal progression and margin development, so as you know, we do not guide in detail on a quarter basis. However, we pointed out a couple of points and important factors. So on top line first, FX impact will be the heaviest in Q1 and Q2. Q1 headwind was 670 basis points. Q2 at current FX even around 700 basis points. So the margin impact to gross profit and adjusted EBITDA from FX will be 200 to 250 basis points in Q2. Incremental tariff impact will have more pronounced impacts in Q1 to Q3, but less so in Q4 2026 given that the tariffs began to hit us in Q4 2025 where we already showed a 100 basis points impact for that quarter. For Q2 2026, expect a similar margin pressure as we saw in Q1, so roughly 100 to 150 basis points. Finally, with regards to absorption, we will be completing the absorption, especially with regards to our Pasewalk facility by Q3 2026. As you know, Q2 is an important quarter for our B2B business with significant shipments to our partners for the spring/summer season. The mix in Q2 is more heavily weighted to B2B, so expect the usual seasonal decline in gross margin and increased EBITDA margin compared to Q1, but all within the context of our full-year margin guidance.
Operator: Your next question comes from the line of Michael Binetti with Evercore ISI. Your line is now open. Please go ahead.
Michael Binetti: Hey. Thanks for all the information here, guys. I just wanted to ask a little bit on maybe on the OpEx or the SG&A. I think the guidance for the rest of the year flattens out from some nice leverage in the first quarter a little bit. Maybe you could just talk about why there is I am curious if we are going to be going through the rest of the year with double digit growth, what is there a chance to find some more leverage on SG&A? Or how should we think about SG&A at a double digit growth pace even if it slows from first quarter? And then I also just wanted to ask as we head into the spring and summer, Oliver, maybe just a quick thought on some of the products that are the ones that the retailers are the most excited about, maybe something that we can Google or watch your social media trends? What are the big products that we are going to see for the summertime here as we get into the main season? Thanks.
Ivica Krolo: Hey, Michael. Thank you for your question. Ivica speaking. I will take the first part, with regards your question on margin improvement and SG&A. So as you know, the tariff and FX drag is very real for us and impacting our margin by 200 basis points for fiscal 2026. Without that pressure, EBITDA margin would have been up nicely year over year, and this is also what we pointed out at our Capital Markets Day, that we are getting operationally better. Could that be more? Yes, always. But we need to balance expanding margin with reinvesting that margin upside back into the business to support sustainable revenue growth. And this is particularly in our D2C business, which brings lower margin but higher absolute profitability per pair. But our D2C business is still 80% online, which has little operating leverage given the high variable cost structure. So we are accelerating our store growth to drive more retail as part of our D2C mix, which should allow for some four-wall operating leverage over time. We are accelerating our investments in manufacturing, retail, in e-com, and logistics, and that will constrain EBITDA margin expansion in the near term. And referring to what Oliver has said earlier, in a constrained situation, which we are in and which we are in by design, we are steering the business and allocating products in a way to optimize margin, mindfully and gradually, that this will pay off over time. With regards to your question on product and spring/summer, handing back to Oliver.
Oliver Reichert: Hi, Michael. It is Oliver. What we see globally, especially in our own retail spaces and also in the order book of our big wholesale doors we are delivering, they are looking for much more elevated styles in both ways, in closed toe and in open toe sandal. What we see is a very strong momentum in open toe in elevated styles, you know, and in every price segment. So from, you know, big buck EVA up to Naples Wrap, which is a closed-toe silhouette. Open toe Florida in a very elevated execution. The Gizeh is coming back, so the thong sandal. So it is going, as always, in the same direction. They go into more expensive price groups, more elevated executions. That is super interesting for our partners, and it is super interesting for our own retail stores. That is a big trend we see also coming from APAC, where our Paris office is delivering open toe silhouettes north of $250 in the APAC region. This is already 30% to 40% of our own retail. So this is a very strong momentum in this high price level and these more elevated styles.
Michael Binetti: Okay. Thanks a lot. Appreciate it.
Operator: Next question comes from the line of Paul Lawrence Lejuez with Citi. Please go ahead.
Anna Andreeva: Hi. It is Tracy Kogan filling in for Paul. Was hoping we could touch on the balance sheet and your uses of cash. With the stock trading where it is, I was wondering if you were thinking about being more in the open market with your €200 million buyback rather than waiting for private equity. And then wondering if you could talk about your willingness or the insiders' willingness to buy stock at current levels.
Ivica Krolo: Hey, Tracy. Thank you for your question. It is Ivica.
Anna Andreeva: I
Ivica Krolo: 100% agree. The stock is too cheap. It does not reflect the fundamental value of the underlying business. Not at all. As you know, we announced our intention to repurchase €200 million in shares in fiscal 2026, so we will be executing this subject to market conditions. If you remember, last year we executed a repurchase in May in conjunction with a secondary offering, given the limited free float already in the market. A similar structure for this buyback is an option. But so are open market repurchases as well. Then covering the second part of your question with regards to insider buying. Well, we have been in a blackout period for most of the year. Our standard blackout period runs from two weeks before the end of our fiscal quarter to the day after we report that quarter. So in the case of Q1, the blackout started on December 15, ends tomorrow. Additionally, we have had transaction-related blackouts due to the Wittichenau acquisition and the Australia distributor acquisition. Finally, we get blacked out around any secondary transaction, potentially by Catterton, or altogether, that has not left any window in the year I have been in at Birkenstock. And I assure you it is not the lack of desire to buy shares at this price.
Anna Andreeva: Thank you. Good luck.
Operator: Next question comes from the line of Laurent Andre Vasilescu with BNP Paribas. Your line is now open. Please go ahead.
Laurent Andre Vasilescu: Good morning. Thank you very much for taking my question.
Ivica Krolo: Oliver, Ivica, I want to ask about your own stores, which are becoming increasingly important into your DTC business. I think, Oliver, you mentioned that last year, e-commerce was 80% of the mix, 20% stores. Do some rough math about, with regards to revenue per store? Can you provide us some store profitability metrics? What is your same-store sales growth? And how are the new doors performing? And how long are they taking to ramp up to full profitability? Thank you very much.
Ivica Krolo: Hello. Thank you for your question. It is Ivica again, and you are 100% correct. Our own retail is becoming increasingly more important by design. We want to create more high-quality touch points with the brand, capture more of the in-person demand within our own retail channel, and balance D2C better between online and in-store. Generally, this channel also allows us to showcase the full range of our offering, including exclusive styles that you will not see in the B2B channels. As you know, our store fleet is still small and young. Only 106 stores by Q1 globally, around 60 of those have opened in the past two and a half years. As a result, we see a significant variation within the base, so the averages are skewed and not a particularly useful predictive tool. And, also, be reminded, there is no store that looks like the other, so the conception of the stores is very diverse all over the globe. But a few metrics we can share to help you think about the potential of this channel. In fiscal 2025, retail share of D2C revenue was up about 400 basis points year over year, and this is something we saw similar in Q1 2026. Retail is our fastest growing segment. In the quarter, it was up over 50% year over year in constant currency. Same-store sales growth was high single digits in Q1 2026, and this is also very similar to what we saw in fiscal 2025. So we see consistent and very stable demand patterns in our own retail. And finally, CapEx per store is typically in the range of €400,000 to €800,000, and we expect the store to return that cash within 12 to 18 months. So we are applying our very disciplined approach while expanding D2C further and accelerating it. Again, as the fleet grows and matures, the averages will become more meaningful and useful in forecasting, but for now, there is too much variation to make it a very useful tool for you.
Laurent Andre Vasilescu: Thank you very much for the detailed response. Much appreciated.
Operator: Your next question comes from the line of Peter Clement McGoldrick with Stifel. Your line is now open. Please go ahead.
Peter Clement McGoldrick: Full-price brand representation is really standing out here across the footwear environment. So as we look through fiscal 2026, can you share some embedded demand elasticity metrics in the revenue outlook and then talk about the factors supporting your confidence that higher prices will continue to resonate as they have in the past?
Oliver Reichert: Thank you for your question, Peter. It is Oliver. As you know, we are in the middle of 2026. So first quarter is over. We are in the second quarter. The pricing is already set and transmitted. So there is no surprise. As I said, we have a very strong order book. I think the ultimate or the strongest proof point is the 90% plus full-price selling across all our channels. And again, we take a very mindful approach to pricing. Covering the full range of products and the wide range of our assortment and the newness that we create even within certain silhouettes allows us to make precise adjustments on an item-by-item base. And this is like, you know, it is not just a single thing on a very well-performing product. It is a broad and very, hard to say democratic base, but it is a way moving forward in terms of pricing. And over the years, I mean, we have been nearly constantly increasing our pricing year over year, season by season, but always mindful and always in a very close connection with the outside realities. So prices are targeted by product group, price levels in general, and by region. So in some areas, you know, in a global pricing architecture, you have adjustments that are regional-driven or channel-driven. In other parts of the world, they might be a bit different. But in global, it is in the pricing architecture embedded, and that is the most important thing to prevent gray market and all this ugliness. So in total, as I said before, we are seeing customers moving up in terms of price points to more elevated styles and not downwards. So this goes fully aligned with our procedure to move on. And as you know, roughly, you know, it is always like a mid-single-digit price increase we are taking, and that is a very good measurement to move on at least for us.
Peter Clement McGoldrick: Thank you very much.
Operator: Your next question comes from the line of Edouard Aubin with Morgan Stanley. Your line is now open. Please go ahead. Thank you for taking my question. So
Edouard Aubin: Oliver, at the CMD, you indicated, right, that you expect to grow volume about 10% per annum over the next three years, which obviously is close to doubling or an acceleration versus, you know, pre-IPO. Sorry to come back on the wholesale and so on, but, and I know you provided over the years qualitative comments, but can you share with us, we do not need the exact figure, but the rough end of the number of doors and the number of the accounts in the U.S. and Europe kind of since IPO, how it has trended? And then related to that, you know, if you could give us a rough breakdown or at least some indication of, you know, your distribution maybe just in the U.S. by channel between, let us say, you know, department store, mass merchant, family channels, whatever, that would be helpful to understand your wholesale strategy. Thank you so much.
Ivica Krolo: Hi, Edouard. It is Ivica speaking. Covering the second part of your question first. With regards to U.S. and channels specifically. So what we see, and this is a trend that we have observed now for more than a year, and also that has accelerated with back to school, is that the demand is going to physical in-person shopping, and this naturally favors our B2B channel. We have 15 stores in the U.S., so very small footprint to cover that in-person demand. And we see strong sell-throughs in the U.S. with our top 10 strategic partners. So sell-throughs are above 30%, and this growth is broad-based. So it includes department stores. It includes sports specialty. And this is the largest driver of the growth that we see here in the U.S. and specifically the B2B channel.
Megan W. Kulick: And just to follow up real quick on the question. So during the Capital Markets Day, we did talk about the number of B2B doors in both EMEA and Americas. Americas is about 10,000 currently, and EMEA is about 9,000. That is total. So I think we also cited within the U.S. about 600 doors of potential and in EMEA around 1,400 that we have identified as being potential new doors. Again, those are going to be highly targeted to some of our expansionary categories like youth and sports specialty.
Edouard Aubin: Got it. But how does this number of doors today compare to, you know, the numbers of doors at the time of the IPO? Sorry.
Megan W. Kulick: We said that it has been about 90% to 95% of the growth has come from existing doors, so it has been low single digit door growth overall since the IPO.
Edouard Aubin: Okay. Thank you.
Operator: Your next question comes from the line of Lorraine Hutchinson with Bank of America. Your line is now open. Please go ahead.
Lorraine Hutchinson: Thank you. Good morning. Just following up on that point, as your customer base shifts more toward the newly acquired Gen Z customers, is there any deeper pruning you need to do, adding and subtracting, to make sure your B2B partner portfolio can successfully target this cohort?
Oliver Reichert: This is Oliver. Thank you for your question, Lorraine. I do not know if I really understood your question right. The thing at the moment that fascinates Gen Z is that they are burning for the Boston silhouette, which is a silhouette that is 50 years old this year. So we do not really have, you know, a specific product units for this target group. I think they are attracted by the heritage, the purpose of the brand, and this unique easy-on and easy-off. That is the biggest argument for them. And for some of these Gen Z customers, this is the first pair of Fußbett they ever tried. And as we know, we will build a long-term relationship with these customers, and they come back. In average, they end up having four, seven, eleven pairs. So this is just the beginning of the journey and the touchpoint with the brand for these people. And we try to continue to be in contact with them and make them other wearing occasions or usage occasions for the Fußbett.
Megan W. Kulick: And just real quickly follow-up on that. You know, David, unfortunately, we did not have all the regional leaders here today to take Q&A, but I can answer real quickly on behalf of David. You know, our view is from a Gen Z standpoint and the youth standpoint, we are in a lot of the right doors. We are in some of the youth specialties, sporting goods stores where a lot of these shop. Our goal is obviously to harvest more of them online. We think we are in the right doors from a B2B standpoint, and we are seeing the breadth and depth of our offering within those stores expanding as the demand from Gen Z grows. We are going to wrap it up there. I know we only allocated 45 minutes to today’s call. We will be back to the full length.